Operator: Good afternoon, and welcome to SeaChange's Fourth Quarter and Fiscal Year 2021 Conference Call for the period ended January 31, 2021. My name is Hillary, and I will be your operator this afternoon. Joining us from the company is Executive Chairman, Robert Pons; Chief Financial Officer, Michael Prinn; and Senior Vice President of Global Sales and Marketing, Chris Klimmer. After the market closed today, SeaChange issued its financial results for the fiscal fourth quarter and full year of 2021 in a press release, a copy of which is available in the Investors section of the company's website at www.seachange.com. Before we begin today's call, I would like everyone to please take note of the safe harbor paragraph that is included at the end of today's press release. This paragraph emphasizes the major uncertainties and risks inherent in the forward-looking statements that management will be making today. As indicated, forward-looking statements are based on management's current expectations and are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. These risks and uncertainties are also outlined in the company's SEC filings, including its annual report on Form 10-K and quarterly reports on Form 10-Q. Any forward-looking statements should be considered in light of these factors. Additionally, this call contains certain non-GAAP financial measures as that term is defined by the SEC and Regulation G. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in compliance with GAAP. Accordingly, SeaChange has provided a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures in the company's earnings release issued today. I would like to remind everyone that this call is being recorded and will be made available for replay via a link available in the Investor Relations section of SeaChange's website. Now I would like to turn the call over to SeaChange's Executive Chairman, Robert Pons. Sir, please proceed.
Robert Pons: Thanks, operator. Good afternoon, and thank you for joining our fourth quarter and fiscal 2021 conference call. It is great to have this opportunity to speak with you today. Joining me is our CFO, Mike Prinn, and our new Senior Vice President of Global Sales and Marketing, ChrisKlimmer.  I would like to start off by sharing with you a statistic that recently was in an article in the Wall Street Journal. According to the Motion Picture Association, the number of subscriptions to video streaming services around the world reached 1.1 billion in 2020. We, SeaChange, are a company that is squarely in the middle of this explosive growth in video streaming. We have the technology and experience to provide cable operators and content owners throughout the world to enable video streaming for their films, television shows or live content. Our streaming technology brings our customers an end-to-end solution with a strong monetization component for both subscriptions and advertising business models,while navigating through the last 12 months during the pandemic has not been easy for our company and our shareholders. However, the last 90 days has been a turning point for our company. I have been busy meeting with customers and employees every day since I jumped into the role of Executive Chairman. As you have read, we have significantly improved our balance sheet with our recent public offering, we have completed and now have over $22 million in cash. Now I would like to share with you what has been happening at SeaChange over the last 90 days since I was appointed Executive Chairman. Our team has been laser-focused on aggressively implementing our strategic road map, which has created a much more focused and capable organization. At a high level, the initial phase of our strategic road map has involved 3 key initiatives. First, enhancing our go-to-market strategy to position SeaChange as the leading enabler of video streaming services to cable companies and content owners throughout the world. Second, refining our business model to better monetize the value of SeaChange's software and services and drive a greater ROI for our customers. Third, strengthening the team with key appointments: technology veteran, Matthew Stecker, to our Board and the promotion of Chris Klimmer to Senior Vice President of Global Sales and Marketing. Our early execution against our strategic road map is reflected by not only the sequential improvements in our top and bottom lines, as Mike will discuss shortly, but also the major customer wins we have recently secured. This included the new multiyear, multimillion-dollar contract we secured with our long-standing customer, who is 1 of the largest broadband service providers in the U.S. More broadly, our strategic initiatives have also enhanced our technology platform and go-to-market strategy to better align with the worldwide explosive growth in over-the-top or OTT streaming services demand during the pandemic. Our continued and consistent execution of our strategic road map will drive scale, capture market share and create even greater value for both our customers and shareholders. I'll now turn the call over to Mike to walk you through our numbers for Q4. Then Chris will discuss our sales and marketing initiatives and the traction we are achieving in the market. Afterwards, I will share our outlook and then open the call to questions. Mike?
Michael Prinn: Thanks, Bob, and good afternoon, everyone. As Bob described, SeaChange's business and focus today is very different than it was a year ago. For this reason, I'll focus my commentary on the fiscal fourth quarter of 2021 in the prior quarter comparison. Now turning to our financial results. Total revenue for fiscal Q4 2021 increased 3% to $5.1 million compared to $5 million in the prior quarter. The increase in revenue was primarily due to an increase in product revenue, offset by a decrease in legacy maintenance revenue. Product revenue for fiscal Q4 2021 increased 33% to $1.4 million or 27% of total revenue compared to $1 million or 21% of total revenue in the prior quarter. Service revenue for fiscal Q4 2021 decreased 5% to $3.7 million or 73% of total revenue compared to $3.9 million or 79% of total revenue in the prior quarter. The decrease in service revenue was primarily due to a decline in legacy maintenance. Revenue from our international markets in fiscal Q4 2021 was $3.7 million, or 73% of total revenue, which compares to $3.6 million or 72% of total revenue in the prior quarter. Revenue in our U.S. market for fiscal Q4 2021 was $1.4 million or 27% of total revenue which compares to $1.4 million or 28% of total revenue in the prior quarter. Looking at our margins, gross profit for fiscal Q4 2021 increased 2% to $2.8 million or 55% of total revenue compared to $2.8 million or 56% of total revenue in the prior quarter. Product gross margin for the fiscal fourth quarter of 2021 was 46% compared to 58% from the prior quarter. Service gross margin was 59% compared to 55% from the prior quarter. Looking at our expenses, non-GAAP operating expenses for the fiscal fourth quarter of 2021 decreased 3% to $6.4 million from $6.6 million in the prior quarter. GAAP loss from operations for fiscal Q4 2021 totaled $4.4 million, an improvement of $132,000 compared to $4.6 million in the prior quarter. As a percentage of total revenue, GAAP loss from operations for the fourth quarter of fiscal 2021 was negative 87%, which compares to negative 92% in the prior quarter. Non-GAAP loss from operations for fiscal Q4 2021 totaled $3.5 million or a loss of $0.09 per basic share, an improvement compared to $3.8 million or a loss of $0.10 per basic share in the prior quarter. As a percentage of total revenue, non-GAAP loss from operations was negative 69% compared to negative 76% in the prior quarter.  GAAP net loss for fiscal Q4 2021 totaled $4.4 million or a loss of $0.12 per basic share. This was an improvement compared to net loss of $5.1 million or a loss of $0.14 per basic share in the prior quarter.  Non-GAAP net loss for fiscal Q4 2021 totaled $3.5 million or a loss of $0.09 per basic share compared to a net loss of $4.3 million or a loss of $0.12 per basic share in the prior quarter. Turning to the balance sheet. On April 1, we strengthened our balance sheet by issuing 10.3 million shares of common stock for total gross proceeds of $19.1 million. The offering was priced at $1.85 per share, which was above the 5-day average closing price of $1.26 per share. In addition, we granted the underwriter an option to purchase an additional 15% of the common stock offered in the public offering solely to cover overallotment, if any, exercisable for 45 days after the closing of this offering. If the additional stock is exercised, this would bring total gross proceeds to approximately $22 million. As of today, we have more than $22 million in cash and cash equivalents, which provides us with sufficient runway and flexibility to execute our growth strategy. This completes my financial summary. For a more detailed analysis of our financial results, please refer to today's earnings release as well as our 10-K, which we plan to file by the end of the week. Chris?
Chris Klimmer : Thanks, Mike. As SeaChange's SVP of Global Sales and Marketing, my focus is on aligning our technological strength and go-to-market strategy with not only where the industry is today but also where the industry is headed over the next 5 to 10 years. SeaChange has an incredibly rich history of technology innovation. We invested in award-winning products and continue to invest in R&D to deliver outstanding solutions using our best in breed technology. Despite the massive changes that have occurred in the broadcast industry since the onset of COVID, streaming services have prospered. In response to the changing industry landscape, we adapted and modified our cloud technology portfolio to address the growing needs of cable providers and content owners to quickly and seamlessly deliver dynamic live and VoD streaming services. With over 150 in-house video software engineers dedicated to developing SeaChange's technology platform, our innovative software solutions are empowering cable companies like Grupo TVCable as well as content owners such as Westcoast Digital Services to seamlessly manage, deliver and monetize their content. In the case of Westcoast Digital Services, during calendar 2020, we helped them launch a device agnostic direct-to-consumer video-on-demand service with premium content from all major studios, another brand reboot. Our solutions support their unique business model of selling redeemable movie cards for digital movies in Tesco retail stores in the UK that are available for streaming on all devices. This is a great example of how our technology provides a customer like Westcoast Digital with an end-to-end solution that spans content processing, user management, monetization and payment to the end user-facing client apps. Today, more than 80 customers globally rely on our software solutions and professional services to orchestrate the delivery of content to all screens and devices. In addition to dynamic content delivery and management requirements, we are seeing a growing need across the industry for technologies like our analytics engine to generate valuable and actionable insights to optimize end user retention and monetization. SeaChange is very well positioned to enable the customer's OTT streaming service with a full suite of offerings, including advanced analytics to report business KPIs, monetization tools such as an advertising insertion technology and client application that reaches end users on all major device platforms. The enhancements to our go-to-market strategy and business model have already produced encouraging results, including a customer-centric sales motion that has deepened and expanded customer engagements. A power example of this is the recent multiyear multimillion dollar deal we secured with our longstanding customer, who, as Bob mentioned, is 1 of the largest broadband service providers in the United States. For more than 15 years, our technology has enabled this major broadband service provider to adapt to technological advances in the industry. Under the new contract, SeaChange is working with the customer to move its infrastructure to a virtual platform, thereby reducing the operators' hardware footprint and enabling higher availability of service. On top of this, we will also facilitate greater monetization of the customer [CD] service offering by leveraging our technology to improve the management of its ad service through remote operator system installations and hardware health management. Longstanding customers like this major broadband service provider continue to expand use of SeaChange's technology and are increasingly benefiting from our ad technology that facilitates cross-platform and dynamic advertising solutions for cable and IP video delivery. This major win, which combines license and service components, marks 1 of the highest average annual values of any North American contract in more than 2 years. The win also exemplifies our refined go-to-market strategy and holistic approach to selling the full value of our software and services and further demonstrates SeaChange's role as a trusted partner to the world's most prominent video providers. The increasing value our technology is providing to leading cable operators and content owners demonstrate SeaChange's elevated value proposition and critical role in the industry. As an enabling technology, SeaChange effectively serves as a conduit to facilitate the delivery of video content to end users globally. In addition to expanding customer relationships, we are also expanding and deepening partnerships as well. Along that line, we strengthened our partnership with Amazon Web Services, or AWS, to enable enhanced data analytics on top of a fully migrated video delivery platform in the cloud. Building on a partnership that dates back more than 5 years, SeaChange leverages AWS' artificial intelligence and machine learning platforms to facilitate a robust understanding of end-user engagement and improve customer business outcomes. Our customers will be able to easily deploy machine learning use cases like predictive maintenance, computer vision and predictive customer behaviors. We now give our customers even greater insights into the end-user behavior and allow them to automatically convert those insights into meaningful recommendations, how to effectively target the end user with relevant content and personalized promotions. That concludes my prepared remarks. I'll now turn the call back over to Bob for his closing remarks. Bob?
Robert Pons: Thanks, Chris. Our building sales momentum validates the effectiveness of our refined go-to-market strategy and our holistic approach to selling the full value of our software and services to the world's most prominent video providers. The increasing value of our technology platform is providing to video and broadband providers globally demonstrates SeaChange's elevated value proposition and increasingly critical role in the industry. Today, SeaChange is positioned at the epicenter of the video industry's transformation to OTT video streaming services and delivery to the billions of end users globally. It was a transformative period for our business and the world. We finished the fiscal year strong and entered the new fiscal year with tremendous momentum, positioning us well to our near- and long-term growth goals. While we are still in the early innings of our strategic road map, I can confidently say that the SeaChange of today is a much stronger and more capable organization and that the future has never been brighter. Our successful capital raise has not only provided the necessary resources to accelerate our plan, but it has also elevated SeaChange's standing among our customers and partners alike. With more than $22 million of cash on our balance sheet, we have the resources to accelerate many key initiatives with our strategic road map and even better capitalize on the exploding growth in the video streaming marketplace. Over time, we expect the successful execution of our plan will translate to sustainable growth and consistent profitability in the years ahead. That concludes our prepared remarks. We are ready to open the call for questions. Operator?
Operator: [Operator Instructions] Our first question is from Steven Frankel of Colliers.
Steven Frankel: Bob, can we start with what were bookings in the quarter. And what's the revenue recognition policy around this new multimillion-dollar multiyear back-office contract?
Michael Prinn: Hi, it's Mike. Yes, I can kind of start with that one. So we're not going to disclose bookings on a quarterly basis. I think we gave enough color with revenue, and I think we've talked about the bookings piece kind of being bumpy. So I think from a reporting perspective, we're going to stick to revenue. And in terms of this deal, it is a large deal, and it's a little different. So what I will say is it's that 3 different pieces to it. It definitely has a professional services piece. It has a maintenance piece, and that's a large piece of the multimillion-dollar contract value, and that will be spread out ratably. The professional services are probably a 6-month period. And then there is a piece that is a license piece. So this will be unlike what we used to call our typical framework deals, which was 60% revenue upfront. This one's probably has a majority of it spread out over the 3-year term period?
Steven Frankel: Okay. But the -- so at this point, you've recognized some professional services and then the idea would be you'd have that, you'd hit your milestones and then you'd start recognizing license. Is that ratable? Or when you get to the license piece, does that all hit in a quarter or 2 and then maintenance starts at some point after the license?
Michael Prinn: Yes. This license will probably be -- it will be a smaller piece, but it will be kind of, I think, a lump-sum payment potentially spread it over 2 quarters depending on kind of implementation. And of course, as a reminder, this 1 was booked in Q1. So this would be kind of Q1 revenue recognition.
Steven Frankel: Okay. So the professional services that we saw in this quarter are not related to this deal?
Michael Prinn: Correct.
Steven Frankel: Okay. Is Framework still a product you're trying to sell today? And did you do any Framework deals in the quarter?
Michael Prinn: Yes. So again, I think we're not going to kind of report the number of Framework deals. I think I'll let maybe Chris and Bob give a little color. You probably won't hear us say the word Framework as much. It's our streaming platform and our offering. And I think we're trying to kind of understand what that looks like, and we may change how we speak about that in the future, but we probably -- you won't hear us say Framework as much.
Robert Pons: Chris, do you want to share what some of your initiatives have been regarding what you're selling as opposed to just as Mike said, a blanket statement of Framework?
Chris Klimmer : Sure. Hey, Steven, good afternoon. So the concept of Framework was based on the assumption that it makes sense to bundle into 1 item basically, a combination of services, licenses and maintenance components. We believe to be able to address the market more specifically and deliver point solutions to both existing and new customers, it makes sense to spread this out again and be more pointed in selling our solutions. So we won't sell the Framework concept anymore. What we're going to sell is enablement services to ensure that our customers, content operators and content owners -- cable operators and content owners can launch successful and profitable streaming services.
Steven Frankel: Okay. So -- and what's the profile of the content owner that would come to you? Obviously, streaming is highly competitive. There are lots of companies that have a larger than you with bigger balance sheets that have customers in this market, who's going to come to you and why?
Michael Prinn: Well, first, Steve, I don't know how much you've taken a look at how many content players that are coming on to the scene not just here in North America but all over the world. So people who have film libraries, people who are producing television shows outside the United States for their particular audience. Some of them are bringing them to the U.S. marketplace. I mean, we're talking hundreds and hundreds, if not thousands of people that are looking to jump in to the growth of streaming. We're -- our sales force globally is busy speaking to content owners. Again, slice and dice, you watch television. You know how many different varieties there are content that appeal to particular customers targeted segments and things. My goodness, it's not just Disney and Netflix, there are companies that are appealing to a family-friendly TV. There's another -- so yes, there's a tremendous amount of opportunities out there for us.
Steven Frankel: And what do you think a typical deal will look like for you in this market?
Robert Pons: So if I may. So first of all, see, obviously, every content owner that we speak to needs to have a content proposition that is strong enough to attract the sufficient amount of users or subscribers depending on the business model to allow a solid business case, right? I mean that's a given. To your question, why should they choose us? Because I think based on the product and also the expertise that we hold in the company, based on the value that we can provide to these content owners, what we can do and maybe do better than our competitors is to make sure that the market entry barrier for these content owners is low, and the upside to turn into profitability is imminent. We have a variety of tools to ensure that we can unlock revenue streams when it comes to monetization of content, but also when it comes to optimizing the way the business operation can be run based on big data analytics. And we also have the capabilities with our cloud-native technology solution to keep the cost under control and ensure that the cost is directly related to actual traffic, which in return will generate revenues. So I think with the combination of these factors and components, cost side on the 1 hand, keeping the cost under control on the 1 hand. And on the other hand, allowing through various components and various services to unlock revenues, I think we have an extremely strong proposition for these content owners to control.
Operator: [Operator Instructions]. Our next question is from [Aria Kohl] of [Kohl Capital.
Unidentified Analyst: Just first question, I've been following the company for several years. If we go back in history, very simplistically, 1 would have said that the goal of SeaChange to grow revenues and that Framework would be the primary driver of sales over a multiyear horizon. I'm looking at your website right now. Could you maybe kind of identify the names of the products or solutions you're going to be selling in the market now that you believe will be the primary drivers of your sales growth over the next 2 or 3 years?
Michael Prinn: So first, our website is dated in terms of its look, its feel. We've been doing many things in the last 90 days, and it is not lost on us that it's time for us to do something very different and a different look and feel. So in terms of actually naming some of the specific products and things, I'll let Chris talk to you again more about some of the service offerings and things that we sell to both cable companies and to content house. Chris?
Chris Klimmer : Thank you, Bob. So I think what we need to move away from is the notion of selling product components and what we need to move towards is the notion of selling enablement services. And these enablement services are directly related to value that we provide to our customers. Think about, for example, you could call it an content ingestion services or content management service where we make sure that the content is processed in accordance to the use case that it's supposed to serve, where all the metadata is normalized and ensures that content discovery is being taken care of. Think of monetization services, ensuring that entitlement to products and contents and content are being managed based on purchases. Think about user management services, where we make sure that the entire life cycle of the user journey all the way from registration, to again, entitlement and getting content promoted is taken care of. So I'd like to sort of change the paradigm of thinking in product components towards thinking in enablement services and ensuring that through this message the value of the very, very rich solution portfolio that we have gets communicated appropriately to our customers.
Unidentified Analyst: Okay. And Chris, just a follow-up. Obviously, you're working with a new sales force. Unfortunately, the company had to cut costs in the months just passed. Can you give me a sense of how many sales -- direct sales people that were maybe about 6 months ago and at what levels you're at today and what the investment or hiring plans might be going forward regarding the number of salespeople?
Chris Klimmer : So today, we work with obviously direct salespeople that are employed by SeaChange, and we have sales offices and individual contributors across the globe. Our primary focus, and that is traditionally is so and will continue to be so for some time, are on 3 main regions, which is always in North America, Latin America and EMEA. Beyond those 3 key regions, we also work with channel partners. Channel partners can be agents, resellers, but also strategic partners, technology partners that help us create the appropriate reach and the necessary reach to also get engaged with self-engagement beyond those regions. If and when we will invest in, for example, a presence in Asia Pac, which is an interesting market, but also a difficult market to enter, that is still being discussed.
Unidentified Analyst: Is it possible just to repeat the question? I think it's reasonable just to ask how many direct salespeople that were about 6 months ago, what you've downsized to today, with the $22 million?
Robert Pons: Yes. Yes. Let me -- where have you gotten the information that we've cut salespeople? And where have you gotten anything like that?
Unidentified Analyst: I'm just making an assumption, if I'm incorrect. That's fine.
Robert Pons: Okay. So let me correct you on your assumption. Our sales force is the same sales force, only reinvigorated some of the strategic things that we put in place right now. So I'm not sure where your focus is. So if I may correct you, our sales force is at near capacity that it's been at for a while, only now they're being redirected to selling things that fit much more in line with our capabilities.
Unidentified Analyst: Okay. Understood. And in terms of the redirection, I know you'd mentioned how you've started the fiscal year on a strong note. Is it possible to kind of quantify that in terms of the dollar value of your pipeline versus maybe 3 or 6 months ago as an indicator of building momentum in the business?
Michael Prinn: Yes. This is Mike. Unfortunately, pipeline info isn’t anything that we've shared kind of historically in our rated share going forward. We'll continue to give color on either specific wins that we have, and then most importantly, the different revenue metrics that you see every quarter. I think overall though, Chris -- sorry, it's probably important that Chris feels very strongly that he's got a healthy pipeline. He's got enough opportunities. He's got kind of the right sales team, and he's working on enablement and execution.
Unidentified Analyst: Got it. And just to close here, obviously, it's April 13, you've kind of -- or maybe what is the number, you're 13 weeks into a 15- or 11 weeks into a 13-week quarter more or less. Would you be comfortable kind of discussing how the quarter has progressed so far? Or are you in a situation where just a lot of deals close here in the last 2 weeks. So it's best not to say anything for now.
Michael Prinn: Yes. It's -- we still do have a model where we have a lot of activity at the end of the quarter, and we're also at a point where we haven't really provided kind of quarterly or annual guidance. So I would just say that we're very optimistic, but we obviously still have a couple of crucial weeks to finish up Q1. And because it takes us a while to report year-end, we'll be back in front of everybody probably in another 60 days with some Q1 results.
Unidentified Analyst: Okay. And this really is a final question. Regarding your stronger balance sheet today, you indicated how you're going to be accelerating some of your projects and investments within the company, which would suggest, at least near term, you might be losing more money because you're investing, which probably is a wise idea. Can you kind of give us a sense for assuming you're able to invest as you see fit, I guess, how much lower you think the cash balance sheet -- the cash on your balance sheet might decline over the next 12 months?
Robert Pons: No, we haven't. We don't provide that type of guidance. We just -- we just received the cash, as you know, and we're also looking at some strategic opportunities. There's so many things, as you can imagine, and it hasn't been long since our balance sheet has been shored up. So the answer is, we don't provide that guidance. We're not -- even if we did, we wouldn't be ready to do it now.
Operator: [Operator Instructions] Our next question is from [Gregory PaFiengo] of the [International Service Agency].
Unidentified Analyst: This was briefly touched on before. I was wondering, will SeaChange International keep shareholders up-to-date regarding new contracts and partners coming up? Or will shareholders have to wait until the next earnings report next quarter.
Robert Pons: Gregory, good question. And we're going to -- we put out a couple of press releases recently as hopefully you've seen. We want to be as communicative, transparent company as you might invest in. So we will -- as soon as we have something that we can get a release out a new large customer win or strategic partnerships, something new that we developed in our technology, anything at all were big communicators. And I promise you that we'll do our best to get those -- that news out to you as soon as we could put it together and get it out.
Operator: Our next question is from [Marcel Hertz] of [Hertz Capital Management].
Unidentified Analyst: One of the key products you spoke on previous calls about was this ad module, where you're reselling unsold add inventory and take a cut off of those sales. And I understand you had an opportunity to already test this out with 1 or more customers. So maybe you can give us an update what the results were and if you're still based on that, excited about this product? Is this still top on your list? Or has this taken a back seat? That would be helpful.
Robert Pons: That's a great question. And the answer is it has not taken a back seat, and we are very excited about it. It's a complex module, if you will. There's a lot of parts to it that don't directly have to do with the technology that we provide to our customers on this. But we are working very closely with our customers. We're working extremely close with our partner, who goes and reaches out, if you will, to the ecosystem of the advertising industry, which brings in the inventory of advertisements to our customers. We have -- if I may say, it's been all hands on back on this one. So we're excited and continue to be. Chris, do you want to say anything, I know you work day-to-day with the customers that have the platform installed?
Chris Klimmer : I just want to second that, Bob. I believe that it's a huge opportunity for us. With our products, I believe we have a unique opportunity here, because we support not only the optimization of ad revenues for our customers on the OTT streaming side, which is obviously crucial and extremely important. But we also support that on the linear more traditional broadcast side. So we have a very unique value proposition to help our customers generate additional ad revenues. And it's not taking a back seat at all on the contrary. We're trying to expedite the go-to-market on all fronts. And for the customers that we have closed already, we're trying to do everything we can to accelerate the deployment. And we're taking ownership of the entire ecosystem end-to-end, including those components technologically or demand-wise that we previously didn't have under control.
Robert Pons: And I would just add to that. One thing that we had not done in the past with this platform, and we have been doing fairly aggressively is educating the advertising industry. I mean those are the giants out there that have the gigantic media budgets. And it's important that they're made aware and we've been spending some time educating them, which typically a large media buying group at giant worldwide advertising agency rarely gets across the table from a deep technology company like us. So we've been spending quite a bit of time educating the group that, if you will, originates the ad dollars.
Unidentified Analyst: That's great to hear. Would you say that most of your interest might come from existing customers that say, hey, you've got a great module there, we want to upgrade to this. Or would it more come from brand new customers that look at your services and buy the module in addition or maybe exclusively this module?
Robert Pons: Yes. I think it's both. We certainly have a long list of customers to get out to with the platform. And as the platform grows and starts to become more successful, I think you'll see our -- the long list of customers that we do have will start to come back to us. But we are speaking to new people about it. There continues to be a tremendous interest. And candidly, it's been an education game. The service operators a cable company, they seem to understand it immediately. But like I said, just a short while ago, it's important that all players in the advertising media ecosystem understands that a platform like this is real. It's up and running, and it produces the results. So there's quite a bit of education that we're still doing But that brings us new opportunities.
Operator: Our next question is from Steven Frankel of Colliers.
Steven Frankel: Mike, maybe you can give us some color as to when we might see the bottom in that legacy maintenance or at least when does it start to flatten out on a sequential basis?
Michael Prinn: Yes. All of our legacy business in total was probably around, I think, say $15 million this year, down from $30 million. But we do have probably at least half of that committed throughout the year. So you could see $15 million go to anywhere from $5 million to $10 million. You could have a situation where someone might exit a contract early. So you'll see it decrease from the 15%, but we'll still definitely have at least 5 to 10 probably from next year, but then you continue to see it wind down over the next couple of years.
Steven Frankel: And there was this hope that you were going to build up another maintenance stream from the Framework deal you were able to do last year. Is that a material amount of maintenance to help plug this hole? Or we should not really even look at Framework anymore?
Michael Prinn: Well, the recurring revenue quarterly piece from Framework for all the deals that we sold the last couple of years is about $1 million. It's just short, maybe right now, $975,000 or something. And that is committed. We're in year, call it, 3-year Framework, some deals were 3 years, some were 4, most were 5, but you'll have that $1 million quarterly run rate for at least the next couple of years.
Operator: [Operator Instructions]. Our next question is from [Gregory PaFiengo] of [International Service Agency].
Unidentified Analyst: And gentlemen, I'm also with International Service Agency. I have a base in Moscow and looking at a few further processes here. We were wondering if SeaChange International has plans to provide some content to Russian TV.
Robert Pons: Was the question -- I just want to make sure that I heard it properly. Was the question, are we bringing our services to your country? Is that what the question was? I wasn't quite sure.
Unidentified Analyst: Yes. In the future, yes.
Robert Pons: Well, Chris, you're certainly close geographically than I am. So -- and you probably know that part of the world, at least from a marketing of technology better than I do. So do you want to comment?
Chris Klimmer : Sure. We do have a -- as you may know, we have an R&D center in Central and Eastern Europe and Poland. We also have a very strong sales presence around that region, Central and Eastern Europe. We're slowly expanding towards the East. We haven't yet arrived in Russia, but we are certainly considering to attack that market as well. But as you know, probably much better than I do, really mapping out the business opportunities in a country like Russia is -- needs to be prepared well. And that is certainly an initiative that potentially is on the roadmap for this upcoming fiscal year.
Robert Pons: Right. And I may add, if you -- I don't -- we just met, but if you are interested in introducing us to those opportunities or relationships in your country, we would welcome them, and I promise you we will be responsive if you give us a phone call, an e-mail or anything. We're easy to get a hold of.
Operator: [Operator Instructions]. There are no more questions at this time. This concludes our question-and-answer session. If your question was not taken, please contact SeaChange's IR team at seac@gatewayir.com. I would now like to turn the call back over to Robert Pons for his closing remarks.
Robert Pons: Thank you, shareholders. Thank you, prospective shareholders. Rarely have I seen a company morph in a 90-day period as quickly as I've seen our company. Things feel remarkably different. Morale is high. Our balance sheet is secured, and we just happen to be a provider of technology in the fastest-growing segment of the broadcasting industry, video streaming. Not a bad place to be if you're a shareholder or a prospective shareholder of our company. We have the assets. I always speak about our great assets, our assets from our talented people, both on the business development side, on the finance side and a big shout out to close to 150 highly qualified video software streaming technology folks in Poland, a great assets for a company to have. We have a great balance sheet. We have the right technology assets, and I just mentioned, we have the right people. To me, I've been around a lot of technology companies over close to 35, 40 years. Boy, does -- this feel like in on all levels, the right formula to grow our value to all stakeholders, shareholders, employees, customers alike. I want to leave you with 1 word. You've heard it throughout this presentation for a reason. And it's part of what we're so excited about, and that word is streaming, streaming and streaming. So thank you, everyone, and stay safe.
Michael Prinn: Thanks everybody.
Operator: Thank you for joining us today for SeaChange's fiscal fourth quarter and full year 2021 conference call. You may disconnect your lines. Thank you.